Operator: Thank you for standing by. My name is Kathleen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Perdoceo Education Corporation First Quarter 2024 Earnings Conference Call. [Operator Instructions]. Thank you. I would now like to turn the call over to Sam Gibbons, Investor Relations. Please go ahead. 
Sam Gibbons: Thank you, Kathleen. Good afternoon, everyone, and thank you for joining us for our first quarter 2024 earnings call. With me on the call today is Todd Nelson, President and Chief Executive Officer; and Ashish Ghia, Chief Financial Officer.
 This conference call is being webcast live within the Investor Relations section at perdoceoed.com. A webcast replay will also be available on our site, and you can always contact the Alpha IR Group for Investor Relations support.
 Let me remind you that this afternoon's earnings release and remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act of 1934. These statements are based on assumptions made by and information currently available to Perdoceo Education and involve risks and uncertainties that could cause actual future results, performance, business prospects and opportunities could differ materially from those expressed in or implied by these statements. These risks and uncertainties include, but are not limited to, those factors identified in Perdoceo's most recent annual report on Form 10-K in subsequent filings with the Securities and Exchange Commission.
 Except as expressly required by the securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or changed circumstances or for any other reason. In addition, today's remarks refer to non-GAAP financial measures, which are intended to supplement, but not substitute for the most directly comparable GAAP measures. The earnings release that accompanies today's call contains financial and other quantitative information to be discussed today as well as the reconciliation of the GAAP to non-GAAP measures and is available within the Investor Relations page of the company's website. With that, I'd like to turn the call over to Todd Nelson. Todd? 
Todd Nelson: Thank you, Sam. Good afternoon, everyone, and thank you for joining us for our first quarter 2024 earnings call. I'll discuss some of the key highlights from the first quarter, and then Ashish will review our operating and financial performance in more detail and provide an updated outlook for the year.
 However, before we begin, I'd like to thank our faculty student support staff and all other employees for their ongoing commitment and hard work and serving and educating our students. We ended 2023 on a strong note as it relates to student retention and engagement, and these trends have persisted in the first quarter. As a result, first quarter operating results came in ahead of our expectations discussed on the last earnings call, primarily due to better-than-expected student engagement trends.
 Before we discuss first quarter results, following are some of the key observations and highlights for the quarter. We continue to experience strong levels of student retention and engagement at both CTU and AIUS, and we expect to operate at these levels through the remainder of 2024 and while our faculty and student support teams remain focused on educating and serving our students.
 Marketing and mission spend and commensurately prospective student inquiry generation was lower during the first quarter as compared to 2023. Aided by data analytics, we continue to adjust marketing strategies to further improve our focus on identifying prospective students who are more likely to succeed at one of our universities as well as comply with updated expectations from various federal agencies around prospective student outreach.
 We remain focused on investing in and improving processes that support our corporate engagement programs. These programs remain a focus and priority of both institutions and will continue to make necessary investments in staff and technology to further grow the programs in an efficient and effective manner. We continue to place an emphasis on investing in and utilizing technology to evaluate the academic experiences of our students and improve the efficiency and effectiveness of our institutions academic and student support functions.
 We view technology as a catalyst and differentiator for us and remain committed to making selective investments that deliver a more meaningful and relevant education experience for our learners. A quick note on our operating results.
 First quarter results came in ahead of our expectations. We reported first quarter net income of $39.4 million or $0.59 per diluted share, while adjusted earnings per diluted share, which excludes certain significant and noncash items, was $0.60.
 From an enrollment perspective, first quarter total student enrollments grew approximately 28.5% at CTU as compared to the prior year quarter, ending primarily driven by a positive timing impact from the academic calendar. As expected and discussed on last quarter's earnings call, AIU system experienced a decline in total enrollments. Total student enrollments, which were lower by 22.9% as compared to the prior year quarter. As previously shared, AIUS had mostly reverted to normalized operations during the fourth quarter of 2023 and consistent with our expectations experienced an approximate 30% increase in total enrollments for the first quarter as compared to the fourth quarter of 2023 low point. Ashish will provide more details on enrollment trends later.
 In summary, we are pleased with the first quarter operating results and are proud of our team whose hard work and dedication are helping us drive stronger student engagement while enhancing academic experiences across our academic institutions. With that said, I'd like to now turn the time over to Ashish for a deeper review of our operating and financial performance. Ashish? 
Ashish Ghia: Thank you, Todd. I will review the first quarter results and then discuss our balance sheet and 2024 outlook before handing the call back to Todd for his closing remarks. Please note all comparisons I discuss are versus the comparative prior year period unless otherwise stated. Please also note that the total enrollment numbers that I discussed or any enrollment trends that I refer to exclude learners pursuing non-degree-seeking professional development programs and degree-seeking non-title for self-paced programs at our universities. 
 Let us begin with an overview of our operating results. First quarter operating income of $46.3 million was $2.9 million higher as compared to the first quarter of last year. This improvement in operating income was primarily driven by approximately $30 million in lower expenses across most functional areas that more than offset the decline in revenue.
 Please note that despite the lower student enrollments at AIU system, we have strived to maintain the faculty and student support operations relative to their enrollments at levels higher than historical norms due to AIU Systems' total enrollment growth expectations as well as our desire to continue providing quality student support services. As a result, most of the lower expenses for the quarter can be summarized in the following categories.
 First, lower admissions and marketing expenses due to ongoing adjustment made to prospective student inquiry generation processes as well as to comply with updated expectations from various federal agencies around prospective to an outreach. Second, rightsizing of expenses that support our portfolio of programs offering professional development, upskilling and reskilling opportunities so that we can focus on effectively and efficiently delivering academic programs that we believe will enhance the overall value proposition of our academic institutions. Third, lower debt and expenses, supported by ongoing student loan initiatives implemented by the current administration. And fourth, lower legal expenses primarily related to borrower defense repayment applications.
 Adjusted operating income, which we believe is more indicative of the underlying operating performance and excludes certain significant and noncash items, was $49.5 million as compared to $53.1 million in the prior year quarter. This was primarily due to lower revenue at our academic institutions that was only partially offset by some of the lower expenses I previously discussed.
 Please note that while legal expenses related to borrower defense to repayment applications were lower during the quarter, they are excluded while calculating adjusted operating income. Net income for the first quarter was $39.4 million or $0.59 per diluted share compared to $34.5 million or $0.50 per diluted share. Adjusted earnings per diluted share, which we believe is more indicative of the underlying operating performance was $0.60 as compared to $0.58.
 First quarter revenue of $168.3 million decreased 14% as compared to $195.6 million in the first quarter of last year. This decrease was expected due to CTU's academic calendar comparability, resulting in a lower number of revenue earning days during the current quarter as well as the lag impact on revenue at AIU system for the short-term operating changes made in the prior year.
 During the second half of 2024, CTU's academic calendar will be relatively comparable and the lag impact on revenue at AIU system will significantly moderate. As a result, we expect revenue in the second half of 2024 to show growth versus the prior year, with much of that growth occurring in the fourth quarter.
 A note on total student enrollments. Total student enrollments for CTU increased by 28.5% as of March 31, primarily due to higher number of enrollment days for the current quarter. Please note that ignoring the positive impact from the enrollment day comparability, total enrollment would still be positive for CTU. As expected and discussed on last quarter's earnings call, AIU system experienced a decline in total student enrollments, which were lower by 22.9% as compared to the prior year's quarter.
 Marketing and student enrollment activities had reverted to normalized levels beginning in the fourth quarter of 2023 and quarterly total enrollments were expected to show growth throughout 2024 as compared to the fourth quarter 2020 low point. And accordingly, total enrollments for the first quarter were approximately 30% higher than the fourth quarter of 2023 low point.
 Now to our segment results. First quarter revenue at CTU decreased by 8.8% to $113.6 million due to the negative timing impact from fewer revenue earning days during the quarter. Operating income was $42.2 million for the quarter as compared to $43.7 million. Lower revenue was partially offset by lower expenses within admissions, marketing and bad debt.
 As mentioned previously, the academic calendar will have a disproportionately negative impact on revenue during the first half of the year with the second half more normalized due to a relatively comparable number of revenue days.
 At AIU System, first quarter revenue was $54.5 million or 23.1% lower than the prior year quarter which was in line with our expectations due to the lag impact from operational changes we discussed last year.
 Operating income of $9.3 million was $2.7 million lower compared to the prior year quarter as most of the revenue decrease was offset with lower operating expenses. Please note that some of this operating leverage will reverse in the second half as AI system maintains normalized operations.
 Moving on to Corporate and Other. Operating loss for the quarter was $5.2 million or $7.2 million lower as compared to the prior year quarter. This improvement was primarily driven by lower legal expenses.
 Now to income taxes. For the first quarter, we recorded a provision for income taxes of $13.4 million which reflects accruals for federal and state corporate net income tax, resulting in an effective tax rate of 25.4%. The effective tax rate for the quarter was positively impacted by discrete items for the tax effect of stock-based compensation and the release of previously recorded tax reserves which decreased the effective tax rate by approximately 2.5%. Finally, we expect our full year 2024 effective tax rate to be between 25.5% and 26.5%.
 Now to our balance sheet and liquidity. For the first quarter, net cash flows from operations were $54.5 million versus $4.6 million in the prior year quarter. The increase in cash flows from operations was primarily driven by the timing of the academic calendar and the session start dates. We ended the quarter with $642.4 million of cash, cash equivalents, restricted cash and available-for-sale short-term investments. This represents an increase of approximately $38.3 million since the end of last year.
 Additionally, during the quarter, we returned $14 million to shareholders in the form of quarterly dividends and share repurchases. Capital expenditures for the first quarter were approximately $1.2 million or 0.7% of revenue. As a reminder, for the full year 2024, we foresee capital expenditures to be between 1% to 2% of revenues.
 Before I share the updated outlook, let me take a minute to discuss capital allocation. We are pleased to announce that consistent with our dividend policy, on May 1, the Board of Directors approved the first quarter dividend payment of $0.11 per share, payable on June 15, 2024, to the holders of record of Perdoceo's common stock at the close of business on June 1, 2024. Future quarterly dividend payments are expected to be paid out of free cash flow for the [indiscernible], subject to Board approval and the company's available retained earnings, financial condition and other relevant factors.
 Subject to the requirements just mentioned, we expect quarterly dividend payments will be an integral and growing part of our balanced capital allocation strategy and expect the Board to review the current quarterly dividend amount per share this fall. Separately, during the first quarter of 2024, we repurchased approximately 0.4 million shares at an average purchase price of $17.60 for a total of $6.8 million.
 Moving forward, we expect share repurchases to remain a meaningful part of our balanced approach to long-term capital allocation. Our capital allocation strategy also prioritizes investments in organic projects, in particular, technology-related initiatives designed to benefit our students and maintaining a strong balance sheet while also evaluating diverse strategies to enhance stockholder value, including acquisitions.
 Now let me discuss our outlook for 2024. Based on better-than-expected performance in the first quarter, we expect full year 2024 adjusted operating income to now range between $175 million and $190 million as compared to the previously provided range of $170 million to $190 million and the 2023 adjusted operating income of $174.9 million. Adjusted earnings per diluted share is expected to range between $2.11 and $2.27 versus $2.10 in 2023.
 This outlook reflects our current belief that the high levels of student retention and engagement we experienced over the past few quarters, partly supported by the positive impact from various federal student aid initiatives will continue to persist to the remainder of 2024. Full year revenue at CTU is expected to be lower than 2023 due to the academic calendar comparability at CTU resulting in the lower revenue rates for the current year.
 Please also note that if we were to ignore this comparability impact, revenue for CTU would show growth versus 2023. We also expect CTU to experience total enrollment growth for the year-end 2024, primarily driven by high levels of student retention and engagement as well as continued growth from the corporate engagement programs. At AIU systems, revenue is expected to be below 2022 levels due to the lag impact of lower beginning total enrollments.
 As AI system continues to operate with normalized levels of marketing and admissions, while also experiencing strong levels of student retention engagement, we expect the following: the revenue decline at AIU system will moderate each subsequent quarter during the 2024. In the fourth quarter, we expect AI system to experience revenue and enrollment growth as compared to the fourth quarter of 2023. And for each quarter, we expect AIU per system to post double-digit enrollment growth as compared to the year-end 2023.
 For the second quarter of 2024, we expect adjusted operating income to be in the range of $48 million to $50 million as compared to $55.2 million in the prior year quarter, with adjusted earnings per diluted share to range between $0.57 and $0.59 per diluted share versus $0.61 in the second quarter of 2023. As a reminder, CTU's academic calendar may impact the comparability of revenue earning days and enrollment results in any given quarter and year, but not necessarily in the same magnitude and direction.
 On a full year basis, CTU will have lower revenue earning days in 2024, which will disproportionately impact the first half of 2024 when compared to the prior year. Also, the lag impact from lower beginning total enrollments at AIU system will have a larger impact on the first half of 2024. As a result, we expect the first half adjusted operating income from 2024 to be lower as compared to the first half of 2023, while the second half is expected to show growth as compared to 2023.
 As disclosed in our most recent Form 10-K, the Department of Education has recently gone through and continues to go through additional negotiated rule-making processes while also updating interpretation and providing new guidance on various other topics. While we continue to monitor and evaluate these rule-making initiatives as well as new or updated guidance coming from the department. Any further operational changes that are necessary to ensure compliance with department's rules and interpretations could have an impact on the outlook I just presented.
 Our 2024 outlook also assumes ongoing investments in technology, data analytics, academics and student support processes. We believe these investments have been successful in positively impacting academic outcomes and certain experiences. We'll also continue to increase the size and resources of our institutions' corporate engagement teams. Please refer to our earnings release filed today for important information about the key assumptions and factors underlying this discussion from today's call as well as the GAAP to non-GAAP reconciliations. With that, I will turn the call back over to Todd for his closing remarks. Todd? 
Todd Nelson: Thank you, Ashish. In closing, I'm proud of the way our company executed through the first quarter of 2024, and I'm pleased with the progress we are bringing into the new year. Our academic institutions remain focused on serving and educating students and our investments will continue to prioritize student experiences and academic outcomes. I'd like to thank all of our students and staff once again for their ongoing hard work and dedication. Thank you again for joining us, and we look forward to speaking again next quarter. 
Operator: Ladies and gentlemen, that concludes today's call.